Operator: Good afternoon. Thank you for attending the Owlet, Inc. fourth quarter 2024 earnings conference call. My name is Cameron, and I will be your moderator today. All lines will be muted during the presentation portion of the call with an opportunity for questions and answers at the end. If you would like to ask a question, press star one on your telephone keypad. I would now like to pass the conference over to our host, Jay Gentzkow, Head of Investor Relations. 
Jay Gentzkow: Good afternoon, everyone, and thank you for joining us. Earlier today, Owlet, Inc. released financial results for the fourth quarter and full year ended December 31, 2024. I am pleased to be joined today by Kurt Workman, Owlet, Inc.'s co-founder and CEO, Jonathan Harris, President and Chief Revenue Officer, and Amanda Twede Crawford, our CFO. Before we begin, please note that our financial results press release and presentation slides referred to on this call are available under the Events and Presentations section of our Investor Relations website at investors.owletcare.com. This call is also being webcast live with the link at the same website. The webcast and accompanying slides will be available for replay for twelve months following this call. The content on today's call is the property of Owlet, Inc. and cannot be reproduced or transcribed without our prior consent. Before we begin, I would like to refer you to our Safe Harbor disclaimer on slide three of the presentation. Today's discussion will contain forward-looking statements based on the company's current views and expectations as of today's date. These statements are only predictions and are subject to certain risks and uncertainties that could cause actual results to differ materially from those expressed or implied by such statements. These risks and uncertainties include, but are not limited to, those described in our most recent filings with the SEC and in the Risk Factors section of our annual report on Form 10-K. Please note that the company assumes no obligation to update any forward-looking statements whether as a result of new information, future events, or otherwise, except as required by law. With that, it is my pleasure to turn the call over to our CEO, Kurt Workman. Kurt Workman: Thanks, Jay, and good afternoon, everyone. Thank you for joining Owlet, Inc.'s fourth quarter and full year 2024 financial results call today. As always, we sincerely appreciate your continued support. I will begin on slide five. 2024 was a pivotal year for Owlet, Inc. Building off momentum from creating the first and only FDA-cleared baby monitor, we kicked off 2024 by launching both of our FDA-cleared devices, Dream Sock and Baby Sat, defining a new category of medical-grade infant health monitors. We leveraged these powerful endorsements of our technologies to expand our global footprint throughout 2024 with CE Medical approval in Europe, taking us to 26 total countries by year-end, contributing to 98% of international revenue growth in 2024 versus 2023. Capitalizing on Baby Sat's FDA clearance, we began to lay the groundwork in 2024 to open up the large long-term opportunity for insurance reimbursement in the medical market. Owlet, Inc. expanded our medical distribution channels throughout the year, ending 2024 with six DMEs and began rolling out to twelve Medicaid states. Finally, we crossed a significant milestone with the development and deployment of our new Owlet 360 subscription service last year with the full marketing launch at the end of January. Owlet 360 is the beginning of our vision of moving the center of care to the home, enabling parents to better navigate health and sleep challenges without needing to travel to the doctor. Alongside our 2024 product sales and partnerships successes, we significantly improved our financial performance, capping off the year with exceptional fourth quarter results. 2024 was truly a breakout financial year for Owlet, Inc., the best in company history. We established financial guidance for the first time in three years on the second quarter 2024 earnings call. Including strong Q4 results released today, we exceeded the high end of all guidance ranges for revenue, gross profit, gross margin, and adjusted EBITDA. This coincided with company records for revenue, gross profit, gross margin, and adjusted EBITDA for full year 2024. 2024 revenue was $78.1 million, representing 45% growth compared to 2023. We continue to improve our cost profile throughout the year, and in combination with strong top-line growth, significantly expanded gross margins to over 50% for the full year 2024, the best annual gross margin in Owlet, Inc. history. Finally, we turned the corner on profitability with the final three quarters of 2024 at positive adjusted EBITDA. This included significantly improving adjusted EBITDA by over $14 million in 2024 versus 2023. It is clear 2024 was a turning point for Owlet, Inc., and I could not be prouder of the incredible amount this team has accomplished and a huge step forward as a company. Now zooming into our fourth quarter 2024 performance on slide six. Owlet, Inc. delivered an exceptional quarter exceeding expectations across all key metrics. We achieved revenue of $20.5 million in the fourth quarter of 2024. Adjusting for revenue associated with the new Amazon distribution partner agreement, we signed last year that shifted $6 million in revenue from Q3 to Q4 in 2023, year-over-year revenue growth was 37%. Fourth quarter 2024 gross margins were 53.5%, increasing 650 basis points versus prior year. Q4 2024 represents our seventh consecutive quarter of year-over-year gross margin expansion. Adjusted EBITDA was $0.5 million in Q4, an improvement of $1.2 million versus fourth quarter 2023. We completed the year with three consecutive quarters of positive adjusted EBITDA as we look toward expanding profitability going forward. Our strong Q4 results underscore the significant momentum we have in the business. Owlet, Inc. has never been better positioned as a company. We kicked off 2025 by announcing a major milestone in our evolution into a comprehensive pediatric health platform, the official launch of our new subscription service Owlet 360. Owlet 360 puts the value from Owlet, Inc.'s massive dataset of pediatric health and sleep information directly into the hands of parents and caregivers. A reminder that the cost of health care in the first five years of life is quite staggering. In the United States alone, there are 12 million annual pediatric ER visits, 80 million pediatric office visits, and hundreds of thousands of babies who stay in the NICU. This adds up to over $30 billion in pediatric health care costs every single year just in the US. Owlet 360 is aimed to empower parents at home with information that can help them better manage care for their children. We believe that unlocking care at home is the key to improving overall infant outcomes and reducing costs. The launch of Owlet 360 also positions us closer to delivering on the potential of telehealth than we have ever been. Leveraging the information from Owlet 360, parents will be able to chat with their pediatricians, nurses, sleep coaches, and maternal health professionals while sharing their infant data from the app in order to provide more personalized, actionable remote care. We will begin testing our first in-app telehealth visits in the second quarter of this year before releasing more broadly throughout 2025 as we refine the opportunity. Initial subscription metrics are trending very positive, exceeding our expectations with attach rates for the January cohort at approximately 12% in just the first month. We expect this cohort's attach rate will continue to increase, and note that attach rate is before official launch on January 28th. Without any real marketing spend, that is supporting our confidence in the adoption potential. Jonathan will dive into more details of this innovative service we are so proud of. From a strategic standpoint, Owlet 360's launch marks a significant step in Owlet, Inc.'s evolution into a comprehensive pediatric health platform that I would like to unpack. First, this is an additional growth lever, driving more predictable recurring revenue for Owlet, Inc. We already have an established loyal customer base to initially roll Owlet 360 out to, with over half a million Owlet Care monthly app users and growing. We believe we have aggregated the largest pediatric health population on the planet. Second, Owlet 360 supports our goal of growing long-term profitability. Subscription margins are accretive to current margins, and the service does not require substantial ongoing costs or capital expenditures. Third, Owlet 360 represents a major shift in LTV potential for Owlet, Inc. Owlet, Inc. has been very focused on infants and will continue to be, but the pains of parenthood do not stop at eighteen months. As health care utilization remains very high in the early childhood years, Owlet, Inc. wants to be an important part of the parent-child journey, and a compelling subscription service extends the longevity of Owlet, Inc.'s potential relationship with families. Finally, Owlet 360 enhances our competitive differentiation as the category leader in pediatric health and safety. Our massive and growing dataset is unique in the market today. Unlocking these tools for parents and caregivers through subscription makes it harder for competitors to match our value, which increases the value proposition for our full product suite, which in turn increases our scale to drive more data to deliver better solutions. In addition, as we begin to add features to the Owlet 360 telehealth capabilities and other enhancements in the works, the value proposition will continue to strengthen. We could not be more excited about this next phase rollout. I would now like to turn the call over to Jonathan Harris to walk through recent progress against our strategic focus areas. Jonathan Harris: Thanks, Kurt. We are thrilled to embark on this next chapter for Owlet, Inc. The launch of Owlet 360 marks an exciting inflection point, positioning us to deliver long-term value as a leading pediatric health platform. Our success hinges on purposeful execution across our three strategic focus areas for growth. First, driving continued global adoption of Dream Sock. Second, expanding medical and health care channels to offer an insurance-reimbursed monitor. And third, transitioning Owlet, Inc. into a service through the Owlet 360 subscription, supporting parents from infancy into their toddler years and increasing customer lifetime value. These three priorities will remain consistent with 2024, and we believe they are the right areas to continue to stay hyper-focused on this year. In the US, Dream Sock demand remains robust, with another strong quarter of domestic sell-through growth of 34% versus Q4 2023. We also continue to gain market share. According to consumer research firm Turkana and Owlet, Inc.'s own data, Owlet, Inc. now has the largest share of total dollar spent in the baby monitor category. Brand health remains strong. Dream Sock's net promoter score closed the year at 73, reflecting high customer satisfaction. We are also seeing positive sentiment in our registry trends, with Q4 showing a 72% year-over-year increase in Dream Sock additions to all registries we track. With new parents increasingly prioritizing Dream Sock on their nursery list, this customer enthusiasm has continued to maintain return rates down consistently lower than our historical averages. Looking at domestic growth potential, we see a clear path forward. Products that enhance baby health and safety, like car seats or breast pumps, often achieve category-level adoption. We believe every baby will eventually have access to health monitoring, and Owlet, Inc. is the category leader and the only FDA-cleared monitor on the market. Currently, Dream Sock only has a 10% adoption rate broadly across the US, but states like Iowa, Nebraska, and Utah show significantly higher penetration. These markets with smaller birth populations and generally more price-sensitive demonstrate the power of word-of-mouth amongst parents. As awareness continues to grow in larger states like California, Florida, New Jersey, and Texas, we expect adoption to align with our top-performing regions. Internationally, adoption remains a bright spot. Despite a breakout 2024, we are just scratching the surface globally. Europe's birth rate slightly exceeds those in the US, and with continued execution, achieving adoption rates closer to our 10% US benchmark could unlock significant growth. In Q4, international revenue grew 45% year-over-year. Black Friday was a standout, with Amazon sell-through up 72% in the UK and up 147% in Germany compared to Q4 2023. For 2025, driving global adoption remains critical. We intend to continue to expand the opportunities for Dream Sock globally, capitalizing on the momentum from 2024 as more parents worldwide choose Owlet, Inc. In US healthcare, we are making solid progress in expanding Baby Sat into medical and healthcare channels. In 2024, we ramped up commercialization to tap into the large accretive healthcare market in order to elevate the standard of care for higher-risk infants. As a reminder, Baby Sat, our FDA-cleared prescription-eligible device, targets babies at higher risk, such as those discharged from the NICU or with serious conditions. This market includes over 570,000 US babies annually and over 16% of all US births, all of whom could benefit from a medical-grade at-home monitor. We see no reason why every one of these infants should not leave the hospital with a prescribed reimbursable Baby Sat. In Q4, we continued to onboard and train our new DME partners added in 2024. We are working on expanding commercial insurance coverage and began rolling out Medicaid reimbursement with twelve states signed up. We will be fully operational by mid-2025. This channel will take time to scale, and network will continue through 2025, but the feedback we are receiving from parents and clinicians alike reinforces Baby Sat's value and the potential long-term opportunity. Finally, I would like to add on to Kurt's introduction of Owlet 360. The launch of Owlet 360 is a pivotal milestone in our evolution from a hardware company to a comprehensive pediatric health platform, supporting parents from day one through the toddler years. Building on our dataset that has monitored millions of babies and trillions of heartbeats, Owlet 360 delivers personalized, actionable insights into key health metrics, pulse rate, oxygen levels, movement, and comfort temperature. Parents can compare their baby's trends against our vast pediatric database, gaining daily and weekly insights into health and sleep patterns to understand what is normal and when attention may be needed. No other platform offers this level of at-home infant insights. We have already onboarded over 25,000 paying subscribers with fantastic early feedback. Parents report greater reassurance and confidence, with some noting reduced unnecessary healthcare visits. Retention rates remain strong at approximately 85% after the first month, consistent with Q3, and 60% of subscribers are active daily users. Attach rates from the January cohort hit 12% pre-launch, exceeding expectations, and we anticipate even stronger results with marketing efforts already underway. Priced at an introductory $5.99 per month, Owlet 360 will see additional features, enhancements, and international expansion later this year. This service bridges the gap between hospital and home care, driving predictable recurring revenue, boosting LTV, and growing our connected ecosystem. Owlet, Inc. is firing on all cylinders across our strategic initiatives, and as we enter 2025 at this critical inflection point, our priorities are clear. The same Dream Sock core growth, scale Baby Sat, and Owlet 360, and execute with operational efficiency to deliver meaningful value for all of our stakeholders. We are excited about the road ahead and remain committed to empowering parents while advancing infant health and well-being worldwide. I will now pass the call to Amanda Twede Crawford to discuss our results in more detail as well as our 2025 outlook. Amanda Twede Crawford: Thank you, Jonathan, and good afternoon, everyone. I will begin on slide fifteen. Unless noted otherwise, I will be comparing our fourth quarter 2024 results to the fourth quarter of 2023. Financial results are preliminary until our 10-K filing. Q4 was another strong quarter as we exceeded the high end of the raised guidance we provided on the third quarter 2024 earnings call. Across all key metrics, revenue, gross profit, gross margin, and adjusted EBITDA. Revenue in the fourth quarter was $20.5 million. Excluding the revenue impact from the prior year Amazon distribution partner transition, which shifted $6 million of revenue from Q3 to Q4 2023, revenue was up 37% compared to Q4 2023. Revenue growth was driven primarily by sales of Dream Sock and Duo. Full year 2024 revenue was a record at $78.1 million, growth of 45% versus prior year, exceeding the high end of our guidance. Gross margin in the fourth quarter was 53.5%, an increase of 650 basis points over prior year. This was our seventh consecutive quarter of year-over-year gross margin expansion. The significant gross margin improvement reflects strong volume growth, favorable product mix toward Dream Sock, a reduction in return rates, and improved fixed cost absorption. Full year 2024 gross margin was 50%, expanding 850 basis points versus 2023, and exceeding the high end of our guidance expectations. Total operating expenses in the fourth quarter were $18.4 million, including stock-based compensation of $1.6 million, representing an increase of $5.4 million versus the same period last year. Operating costs increased in Q4 primarily due to $6.2 million of charges related to certain legal matters. These charges were primarily related to the settlement and legal cost associated with two outstanding cases related to our 2021 SPAC offering in which plaintiffs alleged we made false or misleading statements and failed to disclose certain information regarding the FDA's potential classification of our smart sock as a medical device requiring marketing authorization. We have been vigorously defending these cases ever since they were filed. And while we do not admit any wrongdoing and continue to strongly disagree with allegations, the cost and resource strain of continuing to fight these cases has outweighed the benefits of settlement. We expect insurance will cover a portion of the settlement cost. However, any potential insurance recovery has not been included in our 2024 results. Operating loss in the fourth quarter was $7.4 million compared to $3.1 million the same period last year. Net loss in the fourth quarter was $9.1 million versus $6.9 million in the same period last year. Fourth quarter adjusted EBITDA was positive $0.5 million, an improvement of $1.2 million compared to the same period last year. Top-line growth in combination with our focus on operational efficiency drove the increase. As we concluded the year with three consecutive quarters of positive adjusted EBITDA. Full year 2024 adjusted EBITDA was negative $2 million, improving $14.3 million compared to 2023. 2024 adjusted EBITDA exceeded the high end of our guidance expectations. Turning to our balance sheet. Cash and cash equivalents as of quarter-end December 31, 2024, were $20.2 million, down slightly from $21.5 million in the third quarter 2024. Shifting to our 2025 financial outlook on slide nineteen. As Jonathan mentioned, 2025 will be about capitalizing on the momentum exiting 2024 and purposeful execution to deliver on our strategic areas for growth. For the full year 2025, we expect to generate revenue in the range of $88 million to $92 million. Our first half revenue seasonality is expected to be consistent with 2024. In the second half, we are observing a change in retailer purchasing patterns. Specifically, key partners are holding fewer weeks of inventory and pushing Black Friday-related orders into Q4. We expect that there will be a shift in revenue from Q3 to Q4 compared to the prior year, making Q4 our highest revenue contribution quarter. We also expect gross margins in the range of 50% to 52%, demonstrating expansion over 2024. And finally, we are striving to achieve adjusted EBITDA profitability for the full year 2025, which would represent strong improvement over 2024. And with that, we will now take your questions. Operator: We will now begin the question and answer session. If you would like to ask a question, please press star followed by one on your telephone keypad. If you press star one. And as a reminder, if you are using a speakerphone, please remember to pick up your handset before asking a question. We will pause here briefly if questions are registered. The first question is from the line of Charles Rhyee with TD Cohen. You may proceed. Charles Rhyee: Hi. This is Lucas on for Charles. Thanks for taking the questions, and congrats on the quarter. In your guidance, you are guiding to revenue growth of, excuse me, about 13% to, I believe, 18% if I have that right. I guess, can you help us understand how much of this is expected to come from the Dream Sock and Duo as well as, you know, other products like Baby Sat? And then I obviously understand it is early days for Owlet 360, but can you help us understand what is baked into the guide in relation to, you know, contribution from that subscription offering? Amanda Twede Crawford: Yeah. So as far as the guidance goes, related to Owlet 360, which we just launched, we are being pretty careful in what we model internally. While early indicators are looking really positive, it is still early. So for both Owlet 360 and Baby Sat, we are not assuming any material revenue in 2025. Charles Rhyee: Okay. Appreciate that. And then maybe if I can just ask the same question in terms of what kind of, you know, in international you guys saw pretty strong growth. Alright. In 2024 and, you know, ending 2024 with 45% growth in Q4. Can you help us understand, you know, maybe what is assumed in the guidance from international and US? Amanda Twede Crawford: Yes. So currently, there is a little bit of a difference between how we look at the US versus international. Just because the international markets are still emerging, so it does represent a little bit of a bigger opportunity in terms of growth. So the growth is expected to come equally from both the US and international, but as a relative proportion for international, international is going to grow more. If you split the growth, if that makes sense, in that range, half of that dollar value growth would come from the US and half would come from international. Charles Rhyee: Okay. That is helpful. And then I guess focusing on the US, obviously, you guys are doing really well in, you know, the three states, Iowa, Utah, Nebraska, that you had named out specifically. And you know that word-of-mouth is, you know, an integral part of seeing higher adoption rate in these states. I guess, how do we get states, you know, more populated states like California, Texas, and Florida to see higher adoption rates? I guess, what is the strategy for, you know, attacking those populations? Jonathan Harris: Yeah. For sure. I think the biggest thing to know is that the awareness is the highest correlation with adoption in these states. So the three states you mentioned have the highest levels of awareness for Owlet, Inc. And it is just really about driving credible awareness in each of those states. And we are doing that not only through partnerships, expanding our reach with partners and influencers, social media, and digital marketing. We are also really driving more engagement in the product. I think one of the biggest opportunities this next year is with Owlet 360. There is going to be a lot more value driving product every single month this year, and that is going to continue to turn that word-of-mouth, which we think will help us in those states. Already seeing the tipping point happen in, you know, some of the high awareness states as we get the rest of the states on board. We think that the opportunity here to create a standard of care in a new category with health monitoring is absolutely massive. Charles Rhyee: Understood. And then maybe another question on the guidance. I want to ask about gross margin. In Q4, we saw gross margin nearly get up to 54%, but in 2025, we are guiding to 50% to 52%. You know, obviously, Q4 saw, you know, strong mix, heavier mix of Dream Sock, as well as improved fixed cost absorption. So I guess, can you kind of detail why we are assuming, you know, gross margin steps down? Is that largely conservatism, or should we think about something else driving that delta? Amanda Twede Crawford: Yeah. When it comes to gross margin, when we are looking at it for the full year, our guidance is actually stepping up. We had a blended margin of around 50% for full year 2024. So for 2025, we are guiding for that to go up. We do see a little bit of seasonality within our quarters as far as our gross margin percentage goes, and that is really driven by promotional activity. So we are expecting margins to grow next year. Charles Rhyee: Gotcha. Understood. And then I guess my last question here and then I will hop back into the queue. You guys noted making progress with payers, you know, now having twelve Medicaid states. Last quarter, you announced Cigna was covering Baby Sat. Can you maybe give us a little, you know, color on what kind of progress you are seeing with other types of payers? I would love to hear just kind of how those conversations are progressing. Jonathan Harris: Yeah. Great question. We are really making great strides working with AdaptHealth, our partner DME partner. Working directly with their sales team that are calling on hospitals as well as their reimbursement team. So we are really focused on states where they are extremely strong and really driving that Medicaid reimbursement. So it is a slow process, but we are making strides in driving success on there. And we are continuing to push and work closely with our partner in this. Charles Rhyee: Okay. Great. Thank you. Congrats again on the quarter. Amanda Twede Crawford: Thank you. Operator: The next question is from the line of Ben Haynor with Lake Street Capital Markets. Ben Haynor: Good afternoon, folks. Thanks for taking the questions. First off for me, just on the Owlet 360, it sounds like the early returns are quite exciting. But I was wondering, do you have a sense on where we asset fill Jonathan, I mean, is there something in your historical experience and other firms or what you have seen on subscriptions already with the daily active users on where that could, you know, kind of bottom out at? Jonathan Harris: Yeah. I see us continuing to drive quite a bit of success with the features that we rolled out so far. We are seeing quite a bit of engagement on subscription. So with greater engagement, drives greater retention. Also, we believe it can really drive momentum and extend that word-of-mouth as parents share their stories with other parents and really start building on it itself. And as we get later into the year, we are going to really be investing in telehealth and helping to address that $30 billion that are spent every year in pediatric care for children zero to five. So we believe that we are in the super early days of providing true value on our subscription, which will continue to drive that momentum and execute against a great year. Ben Haynor: Got it. And then on the I think you said January 28th, January 26th, launch I guess, where that is when kind of the marketing kicked off for Owlet 360? Or what is the right way to think about that in any anything anecdotal you can share on how that progressed since the 28th and 26th? Jonathan Harris: Yeah. I mean, really at the end of January, we were in a beta before that. So that was really our first launch, like, true public launch. We had a subset of users prior to that. So now we are fully active and engaged, and we are pushing in-app communication and we are really starting to see the first phases of really seeing an overall Owlet, Inc. marketing campaign driving not only the benefits of the Dream Sock itself, but the value of this data platform that we are really starting to build out with the Owlet 360. So, again, super early, but initial feedback is extremely positive from our user base. And we believe that they are going to be telling their friends and family and peer group about this to extend the value. Ben Haynor: Okay. That is great. And then on kind of the adoption dynamics that you see, you know, in Europe or outside the US, do you have any any sort of experiences that you can point to, like, you have seen in some of the states where you kind of get to a critical mass and all of a sudden, adoption accelerates or is it just too early in most of these countries? Amanda Twede Crawford: I would say it is still pretty early, but, you know, I will give you Germany as a great example. Like, getting this CE clearance in Germany, Germany was always a strong market, but as you know, like, Germany is probably the strongest GDP throughout Europe. And then getting that CE Medmark, we saw a big surge just because, you know, it is sort of the prove it to me. So we are really beginning to see strong strength throughout Germany, which is a great sign for us because that is a newer market within Europe for us. Like, the UK has always been a strong market, but we are really starting to see good momentum in Germany, which is a strong GDP, which will continue to grow across Northern Europe. Ben Haynor: Okay. Great. And then lastly for me, I think you mentioned last quarter the six kind of developing with NICUs and hospitals and such. Any updates there on, you know, how those those sorts of conversations have progressed? Jonathan Harris: Yeah. AdaptHealth has been really helpful. These hospitals. In fact, for the first time, we are hearing from people across the country that their physicians are actually recommending Owlet, Inc. So NICU neonatologists are instructing parents to get a Dream Sock or a Baby Sat as their babies are leaving the hospital. So, again, you know, we have had essentially a full year of that FDA clearance and that is rolling out through the PDF community and continuing to gain momentum, so it is not just us or other families, but now the pediatricians and the neonatologists starting to recommend. So very good sign for us. Ben Haynor: Excellent. Well, that is all I have, folks. And thank you for taking the questions. Congrats on the progress. Jonathan Harris: Thank you. Operator: There are currently no questions registered. So as a brief reminder, it is star one to ask a question. There are no additional questions waiting at this time. I would now like to pass the conference back over for closing remarks. Kurt Workman: Yeah. Well, I am really glad that we can, you know, be here today, and I want to thank the Owlet, Inc. team for continuing to outperform and execute. Really proud of our team. We are witnessing a fundamental shift with medical professionals increasingly recommending our products, reinforcing our vision of making health monitoring a standard of care for every baby. As we look ahead, we are committed to leveraging our technology and our data to revolutionize pediatric telehealth. And we really want to address the critical need for earlier detection and improved health at home. We believe this will not only improve outcomes for babies but also transform the way parents are able to navigate care. Thank you for joining us today, and we are very grateful for your continued support. Operator: That concludes the Owlet, Inc. fourth quarter 2024 earnings conference call. Thank you for your participation. Enjoy the rest of your day.